Operator: Good day, and welcome to the Innovative Solutions & Support Third Quarter 2021 Earnings Conference Call.   I would now like to turn the conference over to Mr. Geoffrey Hedrick. Please go ahead.
Geoffrey Hedrick : Good morning. This is Geoff Hedrick. Welcome to our conference call to discuss our performance for the third quarter of fiscal 2021, current business conditions and outlook for the coming year. Joining me are Shahram Askarpour, our President; and Rell Winand, our CFO. Before I begin, I'd like Rell to read the safe harbor -- safe harbor message.
Rell Winand : Thank you, Geoff, and good morning, everyone. I would remind our listeners that certain matters discussed in the conference call today, including new products and operational and financial results for future periods are forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially, either better or worse from those discussed, including other risks and uncertainties reflected in our company's 10-K, which is on file with the SEC and other public filings. Now I'll turn the call back to Geoff.
Geoffrey Hedrick : Thanks, Rell. It was another reasonable growth quarter, with revenues up both year-over-year as well as significant significantly on a sequential basis, with backlog increasing over 40% in the last 3 months. Margins remained strong, and we have 1 of the best cash flow and bottom line profitability quarters in quite some time.  Results were once again driven by a balance of OEM and retrofit programs and reflect the sales of a range of various products. We believe this strategy is both diversified markets and products that will provide a strong foundation for continued growth.  In a sign of emerging rebound in general aviation, Textron Aviation reported the delivery of 33 turboprops in the second quarter, more than double the 15 delivered in the same quarter a year ago. They also noted that new equipment order or activity continues to be strong and appears to be sustainable. Net result has been a strong demand for the King Air 360 and King Air 260 with our with autothrottle on the production aircraft. We are pleased to be working with the most -- some of the most respected names in the aviation industry. Textron, Boeing, Pilatus and others.  Cover story in a recent issue of Flying Magazine prominently mentioned the ThrustSense Technology. In the previous issue, we were selected by Flying Magazine as a Editors' Choice Finalist, selecting 3 of the most innovative companies in that -- for that year. Among those 2 of 3 companies were SpaceX for landing their booster rocket on an island in North Atlantic, Garmin for automatically landing its 5 -- it's single-engine airplane. And ThrustSense Autothrottle as 1 of the 3 most innovative products. In the most recent issue, Flying Magazine mentioned our ThrustSense technology, and its application in the King Air 360. The IS&S Full Regime Autothrottle prevents the pilot from over-torqueing and over-temperaturing the engine. The ThrustSense provides most remarkably VMCa Protection. That VMCa is, in fact, the loss of control -- loss of control of a twin engine airplane when you lose the engine, a 1 engine. This has been a problem for 100 years that has solved in very high thrust turbofan aircraft, but has -- but it causes more fatalities in multi-engine airplanes and even singles.  We're especially pleased that the industry has embraced our Autothrottle technology that's the product is covered by multiple U.S. and foreign patents and provides full authority digital entry control protection for existing installed engines on a retrofit basis. The revolutionary feature is the protection against fatal loss of control actions, in which, a loss of an engine causes the airplane -- I'm sorry, causes the pilot to lose control of the airplane, causing it to flip on its back and crash.  I was pleased that we also noted that, in an order for 11 state-of-the-art Cockpit/IP Primary Flight/Navigation Systems for our premier online retailer that is upgrading its purchased 767 Boeing Aircraft in response to expanding demand of air cargo operation. This has been noted before. But the trend toward older aircraft being reconfigured for cargo operations remain strong, and these aircraft provide a cost-effective ease of entry for legacy air carriers also for newer operators initiating or expanding their air cargo platform.  While revenues are growing with an increase in demand for aircraft on which we can have long-term production contracts, we are also seeing strong demand for our legacy and retrofit products. In particular, air cargo remains robust as represented by previously mentioned order from a well-known airline retailer. This is a very good business, utilizing our standard flat panel displays requiring only minor modifications as required. We continue to book orders and add to our backlog.  We continue to supply Eclipse with cockpit upgrades. In addition, they have indicated additional needs, and we are currently discussing those needs with them. First 9 months of the year have been very good as it affects -- as the effects of global pandemic were moderating. Nonetheless, we remain vigilant in watching for any signs of conditions to change, including any impact on our supply chain. With a strong order book and momentum building, we feel that we've reached an inflection point. The goal is to leverage the success for future growth and build value for our shareholders. I'd like to turn it over to Rell.
Rell Winand : Thank you, Geoff, and thank you all for joining us this morning. Looking at the third quarter revenues were $6.2 million, an increase from $6 million in the same quarter a year ago, but also up over $1 million sequentially from the $5.1 million of revenue in the second quarter of this year. As Geoff mentioned, we are building momentum in the business. Revenues were generated primarily from our OEM production contracts, including the PC-24 and King Air Autothrottle programs, followed by sales of -- in our air cargo customers. Gross margins for the quarter were 54%, consistent with our historical and recent margins. Total operating expenses for the second -- for the third quarter of fiscal 2021 were $2.2 million, unchanged from the year ago quarter.  Research and development expense decreased from the year ago quarter, primarily due to the transition of programs from primarily STC development and certification to production. Research and development expense was almost 11% of our quarterly revenues, reflecting continued strong commitment to innovation and new product development even as production volumes increase. Selling, general and administrative expenses were up from the year ago quarter as a result of an increase in headcount and professional fees we selectively added to our organization to support current and anticipated growth. We continue to emphasize tight operating cost controls and currently believe current quarterly operating expense levels will be maintained in the current range for the balance of the year.  For the quarter, operating income was unchanged from a year ago at $1.2 million. We recognized a noncash $1.5 million or $0.09 per share tax benefit in the quarter. In June 20 -- June 30, 2021 quarter valuation allowance were released for all federal and most state deferred tax assets. The company continues to be in a 3-year cumulative income position as well as continuing to have future forecasted income projections. As a result, net income was $2.7 million or $0.16 per share in the quarter, up from $1.3 million or $0.07 per share in the year ago quarter.  The company remains in a strong financial position. Cash flow from operations was $1.5 million in the quarter and $3.8 million on a year-to-date basis. Despite the payment of approximately $20 million in dividends this fiscal year, we've ended the period with cash and equivalents of $7.5 million. One quick note is that we did take a deposit for an order from a customer, which added to cash and also correspondingly recorded in our current liabilities. This order is expected to be completed by fiscal year-end. We anticipate being operating cash flow positive for the full year. The company is debt-free. Consequently, we believe the company has sufficient cash to fund operations for the foreseeable future. Now I'd like to turn the call over to Shahram.
Shahram Askarpour : Thank you, Rell, and good morning, everyone. This was a rewarding quarter as we grew our revenues and increased our backlog. Growth indications that the demand for our products is increasing. The increased demand is from many sectors of the market, cargo and general aviation and for both OEM production and retrofit products. So let me provide additional information around some of our revenue-generating programs that are driving our success.  On the production side, we have mentioned that we have foundational OEM products that we expect to generate recurring revenues over the next several years. The Pilatus PC-24 program is continuing to grow as Pilatus steadily increases their production volumes for this successful aircraft. Our government contract on the KC-46 continues to run at expected production rates. We're also seeing interest from Boeing for additional systems for export. The conditions in the general aviation market are improving, and Textron noted the shortage of available used aircraft is driving demand for new aircraft. As a result, we are experiencing increased production rate for our King Air ThrustSense Autothrottle.  Consequently, in addition to providing a stable base of recurring revenue on the OEM side, our Autothrottle production line is also becoming a growth engine on the aftermarket side with Textron. We expect to rebound in this market to generate increased activity in the general retrofit market for the King Air as well as the PC-12 Autothrottle through our other dealer and maintenance center networks. As previously articulated and as illustrated in the Article by Flying Magazine, our Autothrottle is getting a lot of attention and therefore, is the focus of our research and development efforts.  Growth potential is very strong in many different markets, and we are in the process of responding to requests from OEMs for additional Autothrottle platforms. Despite overall market sluggishness in the air transport sector, we are having success in the retrofit market by serving the growth demand for our cargo capacity. One high-profile program is a contract we announced with a well-known retailer that continues to grow the Boeing 767 fleet and is retrofitting the cockpits with our display system.  But the growth of online shopping has attracted a host of other players into the market as well and a fast way to build air cargo capacity is through a 757 or 767 conversion. With over 1,000 operational 757 and 767s available for cargo conversion, we expect to see our flat panel display business remain strong. New orders in the third quarter of fiscal 2021 were $9 million. That is a steady increase from $7.6 million in the second quarter and brings our total new orders for the year to $22 million. Backlog as of June 30 was $9.5 million, up $2.8 million from the end of last quarter. Safety protocols throughout our industry from those at the FAA to those restricting travel to certain countries have been an obstacle we have had to navigate in our business development efforts. In addition, as Geoff noted, they also have added complexity to the supply chain that burdens our production process. Fortunately, we have managed to successfully negotiate these challenges by anticipating potential issues and have minimized their impact on our business. This has us confident in our future as we believe the eventual relaxation of COVID-19-related restrictions will provide our business a healthy tailwind.  Before turning the call back to Geoff, let me quickly applaud the ongoing efforts of our employees to integrate new safety protocols into our standard operating procedures, and this has enabled us to maintain productivity without jeopardizing their health safety or well-being. I'd now like to turn the call back to Geoff for some closing remarks.
Geoffrey Hedrick : Thanks, Shahram. It was a real strong third quarter with progress achieved across virtually all of our key performance metrics. Remember earlier this year, we distributed nearly $20 million in dividends to our shareholders. And we now have been building our momentum across the business to reward our loyalty even further. We've increased our cash by 50% from operations. We expect this momentum of recovering market and a strong balance sheet and a growing backlog to lead to continued success. Operator, please turn us over for questions.
Operator:  Our first question comes from David Campbell with Thomson, Davis & Company.
David Campbell : Geoff, congratulations on quarter. It's finally coming through. But I'm looking for -- 
Geoffrey Hedrick : We have a good situation. You've been a strong supporter, but things are starting to all come together. We survived the pandemic happily. So we're not in a recovery mode, but rather a continued operations mode. I give the entire team incredible credit. But importantly, this retailer we're talking about, we'll probably build a fleet of over 500 aircraft over the next 3 to 5 years. And we're happy that his chose us to put our equipment on the latest conversions and more than 50% of their fleet.
David Campbell : What about FedEx? They're expanding. They're adding aircraft. Are you -- do you have business there?
Geoffrey Hedrick : Focusing now on buying things like MAXs, because the MAXs now, as you can imagine, inexpensive relatively and they have a reasonable volume. So I think for FedEx and some of the other package carriers, they're focusing on new airplanes from Boeing. Boeing look at -- you know there's going to be a big demand for it, look at Airbus. Airbus has just announced their 330 Cargo, a cargo version of the 330. So what we believe is -- we think that we see a number of smaller package carriers sweeping in the larger volume of 767, and that's our cockpit. And the only competitive cockpit takes 4x as long to install, almost a month, costs significantly more and has a much lower proven reliability.
David Campbell : I've been looking for problem, and I see supply chain problems with some companies largely because of the stories of semiconductors. Is that likely to impact your deliveries?
Geoffrey Hedrick : Well, look, I'm concerned about supply chain. We haven't had serious problems yet. But there's 2 problems in anything that's semiconductor-related. Increasingly, the lifetime for a given semiconductor is getting shorter and short. They're coming up with new technologies almost every year, which forces the obsolescence of some of the existing technology. That's always an issue.  To date, we haven't had a serious problem. But we -- our designs are materially different than most designed in that we make our designs up of a series of smaller subassembly boards such that if we have a problem with a given technology, given circuit as an example, which either goes obsolete or you can't get, we're able -- instead of modifying an entire system, we could take a small subpart, subsystem part of that and modify that readily. And we've been doing this kind of thing for over 30 years. It helps it. It doesn't solve the problem entirely, but it sure doesn't mitigate it. We're watching it. It's obviously an issue. But to date, we've been able to manage it very well.
David Campbell : That's great, that's great. And you'll probably get some Airbus conversion business, is that a possibility?
Geoffrey Hedrick : This is a possibility as well. But right now, we're delighted to be focusing on Boeing 57s and 67s. As you know, we've got something 500 or 800 of them done already. And it's been a huge success. The reliability of the equipment is the best that I've ever seen in my career. So we're delighted. We keep our fingers crossed, trying to continue to keep our quality up.
David Campbell : Well, based on your momentum and based on the $1.2 million that you earned pretax in the June quarter, I'm estimating you might make a $2.5 million pretax in the September quarter.
Geoffrey Hedrick : You know what, I feel like I'm a hurdler and you are running ahead of me and raising the hurdle, right, over time. But that's okay. Listen, you've got a great support, and we appreciate it. I mean next time you go up to New York, let me know, I'll meet you up there. I'll buy you lunch. The -- I'm being very circumspect, because we're talking about another potential wave of COVID. God knows what the politicians are going to do. So I think our best bet is to execute on what we got and just keep putting our shoulder to the wheel. If we could grow faster than what we have in the past, I'll be delighted, but I'm not planning on it.
David Campbell : Geoff, I am not planning on -- I am not coming to New York as much as I used to. The last trip I had to New York was cancelled by the host because of the COVID thing. So I suggest you get in your King Air and fly down to Richmond, and I'll buy you lunch down here.
Geoffrey Hedrick : Last time I came -- 
David Campbell : You've got King Air.
Geoffrey Hedrick : Last time I came down to see you, I came on a train and I thought --
David Campbell : I know.
Geoffrey Hedrick : I didn't see any lights for two hours. I scared the hell out of me. We'll -- see. But you're right, we got an airplane now, and we're going to do some flight testing anyway.
David Campbell : You didn't have --
Geoffrey Hedrick : Thank you David, it’s good talking to you.
David Campbell : You didn't have the King Air the last time you came.
Geoffrey Hedrick : You're right.
David Campbell : Now, you've got the King Air, there's no excuse, you got to come down here.
Geoffrey Hedrick : I will. We'll down, you're right.
Operator: Our next question comes from George Marema with Pareto Ventures.
George Marema: Could you guys comment on the cadence of the retrofit business now on the Autothrottle?
Geoffrey Hedrick : It's much slower than I would like. That's principally because we need to hire salesmen. All the business we have on retrofit now is principally coming through Textron and Textron and service centers and upgrades, present owners of King Airs through Textron. We now want to directly attack the FBOs separate. And we believe that that's a huge opportunity yet on tax. I can only tell you that I now take it a personal interest in making that happen.
George Marema: Okay. And on the OEM business, like Textron, for example, what is the approximate time lag between when you need to ship your product to them for them to put it in their plane and ship their product? What is it? A month, 3 months, 6 months? How far ahead do they order the Autothrottle to put in their plane?
Geoffrey Hedrick : I don't -- can't give you an exact, but I could tell you, 6 to 9 months -- 6 to 9 months, because in the production cycle of the airplane, it takes that long. So they phase in the installation of it somewhere in the middle of the manufacturer of the airplane. So it's more determined by the -- by how long it takes to build the airplane as anything else. And we've been servicing them in many cases in a matter of weeks. So -- and we're building now inventory so that we can deliver in very short lead times for our FBO customers and for Textron.
George Marema: Yes, looking at Textron numbers, they're planning on producing dramatically more plans in the back half of this year than the first half. So that's why I was sort of wondering about that.
Geoffrey Hedrick : Yes. And we're -- we have already -- we're already looking at automating certain functions just to be able to get repeatability, not so much to say labor, but to assure the quality and repeatability. We expect -- volume growth. If it adds any reinsurance, the company has a history of growing its revenue very quickly. During the RVSM period, we increased production rates month-over-month by 2:1. I don't want to do it again. But we did -- 
George Marema: Oh, I do.
Geoffrey Hedrick : I know you do. And wait, we've seen this  as -- but we grew very, very quickly. And the company -- honestly, the company has always been designed to do that. Because in the retrofact business, you have to assume that you have a potentially short lead time. And the company is here to do that. So we're here to accommodate the rapid growth we believe Textron -- I hope Textron appreciates. I think that the industry, we've got tons of accolades for the auto front. And if you read the latest addition client, it's almost like they said, "Hey, this is a great Autothrottle and look at what you can fix to it, an airplane."
George Marema: Yes. Well, the way Textron is talking, I think you're going to be ready for a big back half here. So about a conference call or 2 ago, you were talking about a new sort of lighter, lower cost version of Autothrottle, if I have the words right. And I was wondering, is this sort of -- this sort of version, would it be applicable to sort of like a Cessna type plane, or what kind of plane would that be used for?
Geoffrey Hedrick : Well, as an example, the immediate target would be the Textron or Beechcraft 58, which is -- they're small like twin, that periodically experiences these loss of control accidents. It's less critical in some of the smaller airplanes than it is in the King Air's. But we -- remember, there's 5,000 King Airs. They're all potential markets. So it's possible to deliver 50 to 100 a month for the foreseeable future. That would be a very nice thing if we can do that.
George Marema: And I'm assuming that these Autothrottles will go on the new remodel C90.
Geoffrey Hedrick : They will. That haven't been a prime target at this point. And the reason is it's a different certification group, so then it will be a little bit more work to get certification. Not designing it, not applying it, but getting the FAA to approve it. It's a  that they are a different certification than the King -- the 200 and 300.
George Marema: Okay. And how is the progress on new commercial OEMs in military?
Geoffrey Hedrick : In military, it's good. Military programs had to take a long time. You sort of start and it takes 2 or 3 years to get it going. But we're progressing in a number of fronts and we're pursuing that as we speak. There are, as you're aware, a significant number still of turboprop airplanes in the military, all over the world. So we continue to bring our technology into those places. And to be very blunt with you, if I could find 12 salesmen today I'd hire them all.
George Marema: Okay. Well, man, you might be recruiting me if it's like shooting fish in a barrel like that.
Geoffrey Hedrick : I don't know any place where you shoot fish in a barrel, but I'll tell one thing, its rewarding and they do love the product. They test the thrill. So we've been -- we really enjoyed this. And we've got a lot of other products. We were in a recent show, and we presented this Autothrottle and they said, "Oh, by the way, we'd like to take a look at your Flight Deck upgrades." So we got a dozen people inquiring on that. So that's good business too.
George Marema: Yes, it's great. It sounds like you have a lot of momentum coming with the -- in your -- in all cylinders here.
Geoffrey Hedrick : I've been doing this for a long time. And the only thing I ever learned is, I got to keep pushing on the wheel way all of the time, because the minute you take your eye off of it, you find out you've got a very abrupt change in velocity. So far so good. We're going to keep at it.  I'm more concerned about a nice steady, continuous and predictable rise in our revenues and profits. And I think that's possible and that's what we're focusing on. Look, we managed to actually grow the business in this pandemic, but pandemic whenever -- our customers got decimated from the pandemic. So we're optimistic that we will continue to grow now that there's some general recovery.
Operator: Our next question comes from Michael Friedrich, a private investor.
Unidentified Analyst: Yes, great quarter. Certainly, the new orders and the uptick in that area is very, very encouraging. I just wanted to touch -- I think the last call we went over most of my questions, but I want to just go over some of the things that really weren't touched on. So on current state of the FAA, and I know this is always sort of a moving target, but I believe last quarter, I had asked if you guys had any pending applications out there right now. And have there been any approvals during the last quarter that just basically things you didn't bother to or things you didn't let us know about?
Geoffrey Hedrick : We've gotten some STCs issue. I don't know precisely how many. But I can tell you that I would be more aware of serious problems, and I haven't heard of any serious problems. So that's the good news. To be blunt with you this is probably as good a working relationship. But  in the old days, when I started in the industry, and there was a lot of mutual respective confidence between the manufacturer and the FAA. The FAA has been in general terms, very, very cooperative and diligent at the same time. So reality is that they work hard to try to get -- to make sure all the work is done, but it gets done in a reasonable period of time. So I never thought I would not complain about the FAA, but I can't complain about the FAA. They're doing fine.
Unidentified Analyst: That's awesome. All right. So Geoff, are there any STCs right now pending that would be for other aircrafts other than the PC-12 or the King Airs?
Geoffrey Hedrick : Let me think for a minute. I really need to get back to you on that.
Unidentified Analyst: Yes, and that would be -- just on to our sales, not on any of --
Geoffrey Hedrick : I'd be coming to that. We're constantly -- we have probably no new aircraft per se because they don't call on to offering, but updates to the existing aircraft and making sure that we get the various versions of the King Air done, so that we can accommodate that whole 5,000 aircraft.
Unidentified Analyst: Great, great. So the previous caller had mentioned the touchback on the cheaper version of the  that might be available. Would there be -- I'm guessing, there'd be more significant OEM possibilities in that area since there are so many more of those planes that are produced out there. Is that the way you're seeing it, Geoff, or do you believe it will be kind of in line with the turboprop numbers?
Geoffrey Hedrick : I honestly don't know. I can tell you that I've looked at the possibility of coming up with a lower cost, smaller version for application in less expensive aircraft. The King Air is probably, on average, 5x to 7x the cost of the small twins. So owners don't want to spend a lot of money.  At the same time, it's still a critical -- still could be a critical component. And I think people are now recognizing that it's not simply -- the Autothrottle isn't simply cruise control, that is a significant and a very valuable reduction in pilot workload. And as that's becoming acknowledged by the people in the industry, the market increases.  In the meantime, it took me 17 years to come up with the Autothrottle we got. I'm hoping that no one will take one -- I don't think I have 17 years left to come up with another throttle, but this was -- but I think we could do it. And if there's a real demand for it, I believe we could fulfill then to that. The good news is we must have almost a half a dozen patents now on the Autothrottle, various functions of the Autothrottle. And so we have a pretty strong position, I'm happy to say.
Unidentified Analyst: That's great. And Geoff, did you just say on the past answer that you guys could do 50 to 100 retrofits a month kind of ideally?
Geoffrey Hedrick : I'd love to do it. The way -- look, we need to go out and talk to the MROs - I think -- not only the MROs, but the FBOs, the individual shops all over the country as well as Textron. Textron has done a great job. But you really -- we've been looking now and putting together a dedicated team to do these installations, which means that they can do them and have for a certain time. So look, Textron has been as cooperative as any OEM I have ever known, they've been wonderful. And we're working with them, but we want to expand that. The markets that -- we think we can get it accepted. So we're going to work on it, get some salesmen out there.
Unidentified Analyst: That's great, that's great. And the online retailer, who we -- name cannot use, of those 400 planes, I think that they'd have to add. Do you expect to be a player on a majority of those? I mean, would those all be 7 --
Geoffrey Hedrick : I think we will either be on all of them or none of them. Right now, we know we're on about 40 of them. So we think we're going to be on all of them. If we treat our customer the way we should, we wouldn't have a problem. And you can -- it's the largest retailer of that kind in the world.
Unidentified Analyst: Yes, yes, yes. I could take a wild guess.
Geoffrey Hedrick : And so we just got to do our job to support them. But it's a unique system in that, it's capable of even if you have anyone of the components failure, you can still fly in your plane for 10 days. And that means that if the airplane's in  in the middle of Croatia or something, you know you're going to be able to get it home and service it. And that's really important, and we just have to do our job and do it well. That's all.
Unidentified Analyst: Yes. And 1 more question, and this is more for the people who might be listening today that haven't heard before. But can you just kind of quickly touch, Geoff, on the limited amount of downtime that these planes have when they're having a retrofit. It was an active plane or a correction as compared to a normal flat panel display switch out.
Geoffrey Hedrick : Well, there's only 1 other system that's certified for 57, 67 retrofit. And from what we hear, I mean our feedback is it takes about 1,400 man hours to install it and roughly 30 days. Now that doesn't become a problem if you're doing a conversion from a passenger airplane to a cargo airplane, because it's going to be down for 3 months anyway.  However, if you actually want to bring an airplane in and that already -- that has already converted into a cargo airplane. And there's a lot of them as you know. And want to update the cockpit with our equipment, we've had it done in as little as 24 hours. But traditionally, it takes 3 to 5 days to install ours as opposed to 3 to 4 weeks for our competitor. So we feel that we have a strong market advantage. There's only 2 of them that I know that are certified for the 57, 67.
Unidentified Analyst: That's great. And there's a lower price point for the actual equipment, is that correct?
Geoffrey Hedrick : I think I'll just briefly address that. The price point may really not be very important. I know we all think about it when we sell it, we think about it. But if you keep 767 on the ground, it costs you about $75,000 a day in lost revenue on that ship, on that asset, okay? Well, guess what? If you put the airplane down for 30 days, I can't say that we're going to plan to even come close to it. You're talking about orders of magnitude more.  And so -- no, that's not always true because a lot of times, it's installed during a passenger to cargo conversion. But when they're not, we have a distinct advantage. And we do have a price advantage. But I think all the other features more than compensate for any different efficiencies. If there were, we don't have any. It's been a good product. It's got a good reputation and incredibly reliable. You're talking about 250,000, 300,000 hours MTBF lead time to compare. Astounding. 
Operator: Our last question for today comes as a follow-up from David Campbell with Thompson, Davis & Company.
David Campbell : Geoff, this is David. I've been trying to reach you several times on the telephone and your office number and no one ever answers it, and I'm not sure you're getting the messages because I guess with this COVID thing, you have a limited person around you.
Geoffrey Hedrick : I'll send you -- I'll contact you. I think -- I'm spending some time in Florida now. So I'm on the road more often than not. And I've had some -- a little bit of surgery done. So one thing and another, I've been a little out of touch. I'll send you a note and make sure you got my number, okay?
David Campbell : Yes. If I get a cell number, that would be good.
Geoffrey Hedrick : I will. But I don't want to give it to you on.  Okay, look forward to seeing you, David.
Operator: Next question comes from  with Weisel Partners.
Unidentified Analyst: Geoff, I'm relatively new to this, but thought occurred. Just wondering about your commentary on whether you've had much contact with the liability insurance carriers, who particularly for commercial users of King Airs, are ensuring the owners of those aircraft --
Geoffrey Hedrick : I remember the question. I remember you doing it, and I applaud that. I actually think stretching it, I would have thought that the insurance companies would be all over it. I guess, insurance companies unlike the rest of people, they don't do anything until somebody runs over their foot. And then when they run over their foot then they get serious. I suspect they're preoccupied with other things. Rell actually has talked to them and has comments. So I'm going to turn it over to Rell to answer your question.
Rell Winand : So yes, insurance people, we have been educating the underwriters. We are sending them information, trying to talk to them. We just sent out the Flying article to many of the underwriters, but it seems to what Geoff just said, hard to get traction. I mean you think it's a no-brainer, but we yet to get some more traction. So we keep following up and keep doing it. And hopefully, the lightfall will come on. Because I think if it comes on to one, it will come on to many.
Geoffrey Hedrick : Sadly, I think -- what I anticipate in a way is that if I were to lose a family member in a crash, I would be angry, obviously. And they would probably say, "Look, you knew this technology was available to make your airplane safer, and you didn't employ it, and I'm going to go after you." And when you have 1 of those happen, then you relook at the problem in a different way.
Unidentified Analyst: It seems like if you're a commercial user of the King Air or a corporate user of a King Air, and this technology is available, and you can meaningfully reduce the prospective liability of operating that aircraft that you are malfeasance, if you don't -- you saw it. 
Geoffrey Hedrick : Exactly. Of course, I would use. I definitely agree 100%. I would say, "Are you crazy? You know this could happen." Well, I found -- I actually asked an attorney in New York for his thought. And the malfeasance, as it becomes more obvious, then you can really make the case, or there's a case for malfeasance, but you need to -- it's got to be pretty well understood. The recent articles in Flying Magazine has so strongly publicized the advantages and the safety issues associated with the Autothrottle. It's probably getting to that tipping point, we'll see.
Unidentified Analyst: Well, not to belabor the point, but to the extent that you reach out to the trade publications in the liability insurance arena, they may find this technology interesting. I'd encourage your continued efforts. It seems like it would be an important factor in delivering services to the 5,000 King Airs that are . So anyway, thank you for your good work and for responding.
Geoffrey Hedrick : We're poised very well. I can tell you that, when the FAA told us that they lost 100 people a year, and what we were doing to save their lives. It was humbling. And I don't know about you, but definitely I never done in my life saved anybody's life, so, including my own. So it is a wonderful opportunity to sort of give back for good fortune, which I've had plenty of. So I agree with you 100%. Hopefully, we'll get some traction.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Geoffrey Hedrick for any closing remarks.
Geoffrey Hedrick : No, we're done, we're done. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.